Operator: Good day and thank you for standing by. Welcome to the Gossamer Bio Q2 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] And I would now like to turn the call over to your first speaker, Bryan Giraudo, Chief Financial Officer. You may begin your conference.
Bryan Giraudo: Thank you, operator and thank you all for joining us this afternoon. I'm joined on today's call by; Gossamer Bio's Chairman, Co-Founder and Chief Executive Officer, Faheem Hasnain; Richard Aranda, Gossamer Bio's Chief Medical Officer; as well as Laura Carter, Gossamer Bio's Chief Scientific Officer. Earlier this afternoon, Gossamer Bio issued a press release announcing its financial results for the second quarter ended June 30th, 2021 in addition to providing a corporate update. Please note that certain information discussed on the call today is covered under the Safe Harbor provision of the Private Securities Litigation Reform Act. We caution listeners that during this call, Gossamer management will be making forward-looking statements. Actual results may differ materially from those stated or implied by these forward-looking statements due to the risks and uncertainties associated the company's business. These forward-looking statements are qualified by the statements contained in Gossamer's news releases and SEC filings, including in the annual report on Form 10-K and subsequent filings. This conference call also contains time-sensitive information that may be accurate for only a limited period of time. Our ability to meet our guidance, especially that related to the timely initiation and completion of our clinical studies. In addition to our ability to release results from our clinical trial in a timely manner, may be adversely affected by the ongoing COVID-19 pandemic. Gossamer Bio undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this conference call. Now I'd like to call - turn the call over to Faheem. Faheem?
Faheem Hasnain: Thanks, Bryan and good afternoon to everyone who's joining us on today's call. We appreciate you tuning into this earnings and update call to discuss our efforts at Gossamer and the efforts that we've been making to develop new medicines to meet unmet needs across a variety of diseases. I branded 2021 as a year of execution for Gossamer. And our team has worked tirelessly to set the stage for 2022 to be a transformative year for our portfolio. Now I'm going to turn the call over to Richard in a minute to give you a more detailed update, but to start, the highlights are that we're on track to have two Phase 2 data readouts for our two lead clinical programs, Seralutinib and GB004 in the first half of 2022, of course, subject to further developments in the pandemic. Much of the focus on the call today will be on Seralutinib. So I'm going to start with GB004 as I view this as an equally exciting part of our - of Gossamer's portfolio. And the SHIFT-UC study of GB004 is enrolling 195 patients with active ulcerative colitis, despite treatment with 5-ASA and evaluating the induction of clinical remission at 12 weeks of its primary endpoint. And we believe that GB004 has a potential to disrupt the treatment paradigm in UC and Crohn's Disease as in oral, non-immunosuppressive product candidate that's meant to induce mucosal healing in patients with Inflammatory Bowel Disease. We're looking forward to the results of the SHIFT-UC study in 2022. Now, moving on to Seralutinib. The TORREY study is enrolling 80 patients with pulmonary arterial hypertension, and evaluating change in PVR at 24 weeks at its primary endpoint. Seralutinib has the potential to be a disease-modifying treatment for PAH patients, for whom the only currently approved treatments are vasodilatory and do not affect the underlying disease pathogenesis. And we're also excited today to give you a glimpse of the open-label data generated with Seralutinib. As a reminder, Seralutinib is an inhaled PDGFR, c-KIT and CSF1R kinase inhibitor, which is currently enrolling a Phase 2 study in PAH patients. Now the pandemic allowed just two patients to complete the open-label extension. So while the data set is limited, these case studies give us greater confidence that we're on track as we look forward to the readout next year from our 80 patient Phase 2 TORREY study. Now without any further ado, I'd like to hand it over to Dr. Richard Aranda, Gossamer Bio's Chief Medical Officer, who'll provide this update on Seralutinib program as well as an update on our other lead clinical program, GB004. Richard?
Richard Aranda: Thank you, Faheem. Today, I am very excited to give an update on the Seralutinib program, including a look at the safety and tolerability, biomarker and clinical activity data we obtained in our Phase 1b open-label extension. As you know, last year, we conducted a Phase 1b and WHO Group 1 functional Class 11-IV PAH patients. The placebo-controlled, randomized, double-blind two-week treatment period was designed to evaluate the safety and tolerability of inhaled Seralutinib as this was our first experience with Seralutinib in patients with PAH. Patients started off at a dose of 45 milligrams BID and we were dose escalated up to 90 milligrams BID at the investigator's discretion. In addition to safety and tolerability, we also were interested in evaluating the Plasma PK and PD profile of Seralutinib in the assessment of target engagement. This Phase 1b study included an open-label extension period, in which patients could receive Seralutinib for up to six months. We enrolled our first subject in the study in the first quarter of 2020. Unfortunately, the first wave of the COVID-19 virus caused site closures and did not allow the initial group of patients on the study to continue on to the open-label extension. As sites began to reopen, we had two patients who enrolled and were able to complete the six month open-label extension. We were very happy to get some initial experience with Seralutinib, and patients with PAH for up to six months, which to our knowledge is the first such data for an inhaled kinase inhibitor. I'll share some of that data in a few slides. But first, on the next slide, I want to take you through how we arrived at the 45 milligram and 90 milligram BID doses we tested in the study. Several approaches were used to inform on dose selection. And we have been pleased thus far to see that the PK and target engagement data validate our thinking. To remind you, Seralutinib was selected and formulated to be an inhaled therapy for PAH that achieves deposition in the deep lung, resulting in greater lung to plasma exposure and hence, potentially a more favorable safety profile. With this intention, our dose levels were informed by a combination of animal model, allometric and direct scaling and PK results from human studies. On the left panel, studies in rats indicate that the lung to plasma exposure ratio is on average 30 times with a half-life that was approximately double in the lung consistent with Seralutinib intended profile as mentioned previously. In terms of allometric and direct scaling approaches, we used efficacy data from animal models of PAH in the Sugen-Hypoxia model, where Seralutinib demonstrated an improvement in hemodynamics, and an effect on remodeling a dose level of 12.8 milligrams per kilogram approximates a 90 milligram BID dose in humans. Finally, we utilized the systemic pharmacokinetic data we generated in our human studies from normal healthy volunteers. Based on the animal model exposure, scaling predictions in plasma exposures, we wanted to ensure adequate levels of drug would be in the lung over the dosing period. We were pleased to see that both our doses are projected to provide adequate free lung concentrations of Seralutinib above both the biochemical and cell based IC50 values or PDGFR alpha, PDGFR beta and c-KIT and the cell based IC54, CSF1R for a 24-hour period. We will further describe these predictions in the next slide as we discuss our PK and target engagement results from PAH patients. One of the key objectives of the Phase 1b study was to ensure that there were no major PK differences in PAH patients compared to normal healthy volunteers. Our data indicated that the PK was similar between PAH patients and normal healthy volunteers. This panel shows the total drug PK profile of inhaled Seralutinib at the two doses of 45 milligrams and 90 milligrams. The PK is characterized by a rapid Tmax of 5 to 6 minutes, with approximately a 4-hour half-life in the systemic circulation. Because we believe that efficacy will be driven by free Seralutinib concentrations in the lung, the next panel on the right shows the projected free drug concentrations in the lung. This slide also shows the observed plasma concentrations from the PAH patients. Both are overlaid starting from the bottom up on to the biochemical IC50s for PDGFR alpha, PDGFR beta, c-KIT and CSF1R. Using the 30 times lung to plasma exposures we observed in our preclinical studies, the concentrations achieved in the lung with the 45 milligram and 90 milligram doses are projected to be adequate to inhibit the targeted kinases. More specifically, as you can see, the orange and green PK curves, again representing the model lung concentrations of the 90 milligram and 45 milligram doses, respectively, remain above the biochemical IC50s for both PDGFR receptors and c-KIT over the course of 12-hours, and CSF1R partially over that time period. With BID dosing, we expect this would provide adequate target coverage in the lung over 24-hours, which may translate into efficacy and PAH. Of note, the observed rapid clearance of Seralutinib in the plasma is just as important as our extended coverage in the lungs. We believe this profile is essential to help avoid the tolerability and safety liabilities seen with orally-administered kinase inhibitors, such as Imatinib in the Phase 3 IMPRES trial in PAH. One of the key measures of pharmacodynamic effect we employed in our Phase 1b study was a flow cytometry-based CSF1R target engagement assay in the whole blood. This took advantage of the fact that Seralutinib targets the CSF1 Receptor, and it could be used as a measure of drug effect through inhibiting receptor internalization. As shown in the bar graph on the left, 5 minutes following inhalation of Seralutinib, there is inhibition of CSF1R internalization, which recovers towards baseline at the 2-hour time point. We interpret these data as showing, first, Seralutinib is inhibiting the pathway of one of its targets, which appears to be consistent with the observed plasma PK curves showing initial exposure approaching and then going below the IC50 of CSF1R. And second, it reflects the intended profile of Seralutinib, that is, rapid clearance from the systemic circulation, lowering the chances for the occurrence of systemic adverse events. Overall, it's encouraging to us that these PK and PD data support the pharmacologic activity of our dose - predictions. Next, we would like to turn to the results from our Phase 1b study in PAH patients. We had 8 subjects who completed the two weeks in which Seralutinib was generally well tolerated. The most frequently reported adverse events were mild to moderate cough associated with inhalation and mild headache. There were no clinically significant change in labs, electrocardiograms, pulmonary function tests or vital signs. New additions to this slide from versions we have shown in the past, our data from the open-label extension. As a reminder, given COVID-related site closures during the first wave of the pandemic, we were limited to two patients who enrolled in the fall of 2020 with extended open-label experience. This small n requires caution when interpreting results from the experience. But we found the data encouraging and wanted to share it with all of you. As background, both subjects were classified as functional Class II, and it came into the study on three background therapies, including oral prostacyclins. We were reassured to see that Seralutinib was tolerated when combined with standard of care therapies in these subjects. No serious adverse events occurred and no safety concerns were identified during the treatment. On the right side of the slide, our biomarker and 6-minute walk data that were collected over the course of the full 6-month experience for these two patients. The graph on the left shows the change in NT-proBNP, which is a biomarker of right heart strain and is used in the risk score calculations of PAH patients. Decreases in NT-proBNP were observed in both patients. The graph to the right depicts changes in the 6-minute walk test, which is a potential registration of clinical endpoint. Both patients increased their 6-minute walk distance over the course of the study. As mentioned previously, we want to be careful not to over interpret data from just two patients. But we are encouraged to see that both patients tolerated 90 milligrams BID of Seralutinib over six months on top of three background therapies and experienced decreases in NT-proBNP and increases in 6-minute walk distance, which are two important measures we are tracking in the TORREY study. The next slide highlights that we have an ePoster Presentation at the upcoming Virtual European Respiratory Society Meeting on September 5th on further biomarker analysis from the two-week treatment period, including data gathered on gene expression changes and evidence of pathway modulation. I will close the Seralutinib update with a quick overview of the Phase 2 TORREY study design and endpoints. We are rolling up to 80 subjects randomized 1:1 to Seralutinib and placebo. We will be testing the same doses in this trial as those study in Phase 1b with patients being up titrated to 90 milligrams twice a day. The primary endpoint of the study is change in pulmonary vascular resistance or PVR at week 24. This study is powered for a change in PVR and we're hoping to see an 18% to 30% placebo corrected improvement, which was - which would put us in the same ballpark as the Imatinib Phase 2 and Phase 3 trials in addition to the more recent Sotatercept Phase 2 results. We will also be looking at 6-minute walk test as a key secondary, though the study is not powered to show a significant treatment effect on this endpoint. Just as a reminder, while Imatinib in its Phase 2 study in the high dose in the Sotatercept PULSAR Phase 2 study both showed 6-minute walk distance improvements of 21 meters to 22 meters, neither were statistically significant results. So while we're hoping to see a similar improvement, effort-based endpoints with a high degree of variance like 6-minute walk distance typically require larger studies to reach statistical significance. We will also be looking at changes in biomarkers like NT-proBNP. Before I turn the call back over to Faheem, I also wanted to give a quick update on the GB004 program. Our HIF-1 alpha Stabilizer for the treatment of IBD including ulcerative colitis. Enrollment in the SHIFT-UC study of GB004 is continuing and we expect to read our top line results for the primary endpoint of clinical remission at 12 weeks in the first half of 2022 pending developments in the COVID-19 pandemic. After that 12-week period, patients who have not worsened are kept on their assigned therapies for an additional 24 weeks to evaluate maintenance through a total of 36 weeks. And finally, in October at UEGW, Silvio Danese, a former President of ECCO in a preeminent IBD KOL at Humanitas University will present a post-hoc analysis of our completed Phase 1b study of GB004 in patients with active UC. The analysis focus - focuses on composite endpoints, combining clinical, endoscopic, histologic and molecular readouts. GB004 outperform placebo across several composite endpoints demonstrating the breadth and depth of improvement some patients experienced on the study, while being treated with GB004. Use of composite endpoints may decrease placebo response and enhance signal detection and we are excited to be pushing the field of IBD research forward alongside Dr. Danese and our other close advisers. With that, I will turn the call back over to Faheem. But I'm happy to answer any questions on the Seralutinib or the GB004 programs during the question-and-answer session. Faheem?
Faheem Hasnain: Yeah Thanks, Richard. And before I hand it over to Bryan, I just want to address the future of the GB1275 program as was stated in our earnings release, Gossamer is in the process of discontinuing clinical activities related to GB1275, which is an oral, CD11b modulator for the treatment of solid tumors. And while we've generated some encouraging biomarker data and still believe that addressing the immunosuppressive cell types in the tumor microenvironment holds promise for patients. The next step in clinical development would require a sizable Phase 2 program, which is not an investment Gossamer will make, given our excitement to the Phase 2 Seralutinib and GB004 programs in addition to the programs in our preclinical pipeline. Now, we want to thank all of the patients, investigators and caregivers who've contributed to this program. Your efforts are immensely appreciated by the Gossamer team. And with that, I'll hand it over to Gossamer Bio's Chief Financial Officer, Bryan Giraudo for a financial update. Bryan?
Bryan Giraudo: Thank you, Faheem. We will now review the financial results for the second quarter of 2020 - 2021, forgive me. We ended the quarter with $405.9 million of cash and cash equivalents. We anticipate our cash and cash equivalents and marketable securities along with access to our debt facility will provide us sufficient capital resources to fund the operations and capital expenditures into the second half of 2023. Research and development expenses in the second quarter of 2021 were approximately $44.3 million, as compared to R&D expenses of $38.7 million in the same period in 2020. G&A expenses were $11.3 million in the second quarter, as compared to G&A expenses of $11.7 million for the same period in 2020. Our net loss for the quarter was $59.8 million, equating to $0.80 per share for the same period in 2020, we recorded a net loss of $66.9 million, which equated to $1.00 per share. With that, I will turn the call back over to Faheem to offer some closing remarks before we open the line for Q&A. Faheem?
Faheem Hasnain: Thanks, Bryan. Again, we appreciate everyone listening in today. And we look forward to answering any questions you may have. Operator, please go ahead and open the line for questions.
Operator: Okay, sir. [Operator Instructions] And your first question will come from the line of Joseph Schwartz. Your line is open.
Joseph Schwartz: Hi, everyone. Thanks very much for the update. I was wondering if you could characterize the current status and maybe pace of enrollment in TORREY and SHIFT-UC, I appreciate it's very challenging to project when these extensive entertaining takings will wrap up beyond your window of first half of '21. But it would be helpful for us to be able to visualize how far you still need to go given the current state of world affairs?
Faheem Hasnain: Yeah, Joe. We have kind of made a point of not commenting on specific enrollment data. And I think we'll stick to that view. But instead, continuing to be consistent with our guidance of when you can expect top line data, which again, just to reiterate, would be first half 2022. So, you know, that's obviously you know we got a COVID caveat to that as most companies do, but nonetheless, we feel comfortable and confident and continuing to point to that guidance.
Joseph Schwartz: Okay, great. And then maybe a question on GB004 then. As lot of IBD KOLs we speak with will lament that payers frequently restrict the use of novel agents, they'd like to use for earlier-stage patients or they'd like earlier-stage patients that come to them to have the opportunity to use and so disease activity often becomes moderate to severe in a lot of patients That might not otherwise progress to the same extent. So you know, I'd love to get your thoughts on, what will it take for an agent like GB004 to break in, where other new agents have had a hard time getting payers to grant broad access? Is it just pivotal data in earlier-stage patients? Or do you think there'll be some other important things that have to fall into place?
Faheem Hasnain: Yeah, Joe, it's a great question. And I think there's a number of dimensions here on this program. I mean, the profile of the program, I think lends itself really well to what potentially could be exceptional positioning in the treatment and the treatment paradigm for IBD patients. And that is that, given that it's got a, it's kind of a non-immunosuppressive approach, we can actually push off and delay the utilization potentially, of more immunosuppressive agents and certainly biologics, and I think that in itself has the potential to be a very attractive attribute. There's all kinds of, you know, as we know, a knock on potential concerns with agents around safety and the like. So, you know, it remains to be seen exactly how payers will treat it, and of course, we'll need to be thinking about a pricing strategy that fits well with its [position] [ph] in treatment. But both the potential to bring in and introduce a safer agent, post-5-ASA failure, pre-biologic, pre-immunosuppressive, I think is pretty attractive. We've had a lot of great feedback from KOLs on this profile, there's definitely a market need and this is a pretty unique niche in the context of where this is has - this has the opportunity to be slated. And then of course, the opportunity, you know, assuming that the safety profile continues to play out, as we'd hope it will, the potential for it to be a backbone of therapy to take remission rates to a new level, I think is a very interesting premise and potential for this agent as well. So, you know, I think long story short, we've got an agent that has the potential to slot into a really important slot, which I believe we'd be able to convince payers of, I think the KOLs already are seeing potential promise for this in context of treatment. And, you know, I think we'll have a lot of wiggle room in the context of how we want to think about our pricing strategies down the road to ensure that there's uptake from a payer perspective.
Joseph Schwartz: Okay, that makes sense. Thanks for taking my questions.
Faheem Hasnain: Yeah.
Operator: And your next question will come from Geoff Meacham. Your line is open.
Olivia Brayer: Hi, guys. This is Olivia Brayer on for Geoff. Thanks for the questions and congrats on the update. I know COVID was obviously a big factor and why it only included two patients. But when we think about the open-label portion for the TORREY study, are there any things outside of the pandemic-related issues that you guys saw on the Phase 1 that that you can do to help increase the conversion rate just for the Phase 2, given the importance of that longer-term data you know, especially from a regulatory perspective? And then I have one follow-up question.
Faheem Hasnain: Richard, do you want to take that?
Richard Aranda: Yeah. I think that, first of all, there's a great deal of interest in the TORREY study by both our sites and thought leaders and by patients, obviously, the TORREY study is going to be much longer than the whole experience that we're going to have with our Phase 1b. And so, you know, we've learned a lot during the pandemic. First of all, we've tried to make our study user-friendly, if you will, while not sacrificing quality. So we've embedded all of our learnings into our execution of our TORREY study, and made sure that patients are aware of that, if they are having benefit in the short-term, and even those that are on placebo that they should continue in the open-label extension.
Olivia Brayer: Okay -
Bryan Giraudo: Olivia, don't underestimate the time, the challenge of an emerging pandemic and a two-week study to convince people to stay on for six months. It's a very different conversation with patient and caregivers while when you're talking about -
Olivia Brayer: Excellent -
Bryan Giraudo: A lot of [technical difficulty].
Olivia Brayer: Okay, perfect. Okay, perfect. Thanks. And then, Faheem, when you think about your pipeline priorities within the next year, is oncology still a focus and an area that you're willing to invest heavily in? I know you haven't disclosed what preclinical assets you might move forward with yet, but what are there some internal opportunities, you know, specifically within oncology that that you think would make sense to take forward on your arm?
Faheem Hasnain: Yes, yes. We do in our preclinical pipeline, we do have a number of agents that will be vectored towards indications in oncology and certainly more to come on that as we progress those programs through our pipeline. But yeah, oncology continues to be one of the areas of pursuit and interest for Gossamer.
Olivia Brayer: Okay, great. Thanks, guys.
Operator: And your next question will come from Carter Gould. Your line is open.
Unidentified Participant: Yeah. Hi, this is [Justin] [ph] on for Carter. Thanks for taking the questions. Looking more broadly at IBD and sort of the recurrent questions on uncertainty over the JAK class in any way changed how you're thinking about 004? I mean, clearly, there's a lot of attractiveness about a non-immunosuppressive profile, but not sort of given the lingering CV issues there. Does that just reinforce your previous view? Or has there been any further evolution on how you think about the hurdle for clinical meaningfulness there?
Faheem Hasnain: Yeah, I think without a doubt, it actually gives us even greater conviction on GB004, because it continues to stress the need for novel approaches, novel agents and ideally, non-immunosuppressive approaches. So to me, it really, as I was saying earlier, it kind of puts a spotlight on this program, given its potential and promise and mechanism of action. So, you know, without a doubt, it just continues to increase our confidence and pursuit to this program. Richard, do you want to add anything else?
Richard Aranda: No, I think that's right on. And, you know, patients are really looking for something that potentially could be safer than what's out there. And as Faheem mentioned earlier, that could proceed the use of biologics.
Unidentified Participant: Awesome. Thanks so much for the updates.
Operator: And your next question will come from Patrick Trucchio. Your line is open.
Patrick Trucchio: Hi, good evening and thanks. Just a follow-up on the Seralutinib program and the OLE data. You know, to understanding this is data from just the two patients regarding the improvements in NT-proBNP and 6-minute walk distance from baseline. I'm wondering if you can train for us the clinical relevance of those improvements that we're seeing in the two patients? And how those could, if at all, read through to an endpoint such as PVR change?
Faheem Hasnain: Sure. Richard, you can take that.
Richard Aranda: Yeah. So you know, first of all, I just want to emphasize that we don't want to over interpret the results from two patients. But having said that, if you look at the directionality of, in both patients that you see a reduction in an NT-proBNP and 6-minute walk, we find that encouraging because it's going in the same direction. You know, as we mentioned, you know, the 6-minute walk has - is encumbered by a lot of variability. But I think we're intrigued by the NT-proBNP data, in particular, because it's a pretty good reduction. And once again, it's directional for us. But I think if you look at other studies, the NT-proBNP levels tend to be flat or even go up. And, you know, the literature once again, don't want to over interpret, but you know, the literature is fairly clear that NT-proBNP is associated with a parameter such as right atrial pressure, PVR and hemodynamic. So, once again, as we're trying to point out, it's encouraging.
Patrick Trucchio: Yeah. And I'm wondering if the two patients were more severe than those that would typically be enrolled in the TORREY trial, given that they were on the three treatments of baseline or if instead, would they be more representative of I guess, the typical baseline - patients with those baseline characteristics for those being enrolled in the TORREY trial?
Richard Aranda: No, I think they're going to be quite similar to what we would enroll in the TORREY trial. You know, we anticipate to roll those with at least three - two or three background medications, you know, we do require a PVR requirement of 400 [guides] [ph] and but you know the baseline NT-proBNP levels are just right on par with what we would expect.
Patrick Trucchio: Got it. That's really helpful. Thank you.
Operator: And our next question will come from Emma Nealon. Your line is open.
Emma Nealon: Hi, thank you for taking the question. Just a follow-up on the OLE here. And again, you know, with the caveat that's only two patients, but curious, there was anything you saw over the longer six-month treatment period in terms of time course of the cough?
Richard Aranda: Yeah, the cough was predominantly seen in the double - the double blind, the first two weeks of treatment, it was very mild as indicated by the patient and the investigator when they reported it. And it didn't occur necessarily with every single inhalation of patients once they got used to inhaling the drug got used to it. And it wasn't a progressive at all, and no patients discontinued or had to reduce their inhalation of drug due to the cough.
Emma Nealon: Great, that's helpful. And then maybe just one for Bryan, how should we think about, you know, the impact on expenses of winding down the 1275 program here?
Bryan Giraudo: They're very minimal. It was a very limited study that we did. And really, I think it's Faheem as we said in the beginning, it's really the avoidance of more expensive Phase 2 studies, which is really going to - allow us to focus on delivering 002 and 004 and the timeframe we talked about, and if we are successful to have a robust balance sheet to enable strategic optionality for both those programs.
Emma Nealon: Great. Thanks again.
Operator: [Operator Instructions] Your next question will come from David Hoang. Your line is open.
Unidentified Participant: Hi. This is [Tom] [ph] for David and thanks for taking the question. Just to get a sense of which trial will have the topline data first, TORREY or SHIFT-UC in the next year? And do you know, if the Phase 2 trial, 002 or 004, I mean, both - it both like readout came positive with a way to plan to advance those simultaneous in the Phase 3, just to get the plan going forward?
Faheem Hasnain: Yeah, we're - at this point, we're not providing guidance in terms of which program we'll readout first. We'll, you know, again, I'll just reiterate, we continue to stick with our guidance of both programs to readout first half 2022. We may give a little bit more specificity down the road. But at this point, we - that's kind of how we'll be describing things. As it relates to the scenario around two positive readouts on the Phase 2s, we will be progressing both of those programs to the next stage of development. And really try not to miss a beat and trying to minimize any time gaps between the topline readout of the Phase 2 and an initiation of our registrational studies.
Unidentified Participant: Okay, got it. Thanks.
Operator: And that concludes our question-and-answer session. I would now like to turn the call over to Faheem Hasnain for closing remarks.
Faheem Hasnain: Yeah, thank you very much and appreciate the questions. I appreciate all of you spending time with us today. We are excited about our programs. And looking forward to next year's readouts. I would just like to thank the Gossamer team for incredible efforts, continued incredible efforts, working through extraordinary times, extraordinary circumstances through what has been arguably a challenging year for everybody in the context of the pandemic. But this is a company that has an incredibly dedicated group of professionals. And that gets defined every single day as we make our progress on these studies, as we make progress on the enrollment and look forward to making a tremendous difference for patients. So thank you, everybody. Thank you very much for spending time with us today and thanks for your questions.
Operator: And that concludes our conference call. Thank you for participating. You may now disconnect.